Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Liberty Global's Third Quarter 2025 Investor Call. This call and the associated webcast are the property of Liberty Global, and any redistribution, retransmission or rebroadcast of this call or webcast in any form without the express written consent of Liberty Global is strictly prohibited. [Operator Instructions] Today's formal presentation materials can be found under the Investor Relations section of Liberty Global's website at libertyglobal.com. [Operator Instructions] Page 2 of the slides details the company's safe harbor statement regarding forward-looking statements. Today's presentation may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including the company's expectations with respect to its outlook and future growth prospects and other information and statements that are not historical fact. These forward-looking statements involve certain risks that could cause actual results to differ materially from those expressed or implied by these statements. These risks include those detailed in Liberty Global's filings with the Securities and Exchange Commission, including its most recently filed Forms 10-Q and 10-K as amended. Liberty Global disclaims any obligation to update any of these forward-looking statements to reflect any change in its expectations or in the conditions on which any such statement is based. I would now like to turn the call over to Mr. Mike Fries.
Michael Fries: All right. Welcome, everyone, and thanks for dialing in to our Q3 results call today. After Charlie and I run through our prepared remarks, we'll open it up for what we hope is a lively Q&A. And as usual, I've got my core leadership team on the call with me. And before I jump into the presentation, I just want to acknowledge and be sure that everybody has seen the press release we put out yesterday regarding John Malone, who has decided to step off the Board and move to a Chairman Emeritus role at the end of the year. Of course, he's making a similar move at Liberty Media. I won't repeat all the key messages that we put in the public statement, you can read that, and I encourage you to do that, except perhaps to emphasize how important, impactful and enjoyable my relationship with John has been over the last 25 to 30 years and how pleased I am that as he implies in the release, he intends to stay very engaged with me and the Board as we execute our strategic plans. And knowing John as I do, he will surely do just that. Of course, I'm happy to take any questions on this as well at the end. Now getting back to our results, let me kick it off with some key highlights from the quarter. If you're going to breeze through these slides later, these first 2 are perhaps the most critical in my opinion. I believe everyone is familiar with how we're organized today in order to create greater transparency around strategy, capital allocation and value creation, everything we do falls into 1 of 3 core platforms at Liberty Global. These include, of course, Liberty Telecom, where we're focused on driving commercial momentum in our broadband and mobile businesses and most importantly, finding ways to unlock the intrinsic value of these companies for the benefit of shareholders, and I'll get into that a bit more in the next slide. Of course, that starts with operating performance. And as you'll see, despite intense competition, we had a strong third quarter with sequential improvement in broadband net adds across all 4 markets, for example. Importantly, our networks are proving to be critical sources of both competitive differentiation like our 5G expansion in the U.K. that's being fueled by the recent spectrum purchases and value creation, like our agreement with Proximus to rationalize fixed networks in Belgium, which I'll cover off in just a moment. Now a theme you will hear a few times today is lowering leverage and strengthening our balance sheet at Liberty Telecom. And Charlie and his team have worked tirelessly this year to strengthen the balance sheet, beginning with refinancing over $9 billion of 2028 maturities, particularly in the U.K. and NL at very reasonable credit spreads. And that includes the debt financing we just announced that funds the fiber rollout in Belgium while deleveraging Telenet, our serveco in the market, and Charlie will dig into that. Now turning to Liberty Growth, which includes our investments in media, infrastructure and tech that today totaled $3.4 billion and by the way, provide a source of capital to drive future value creation. This is a highly concentrated portfolio where the top 6 investments comprise over 80% of the value. We're still targeting $500 million to $750 million of noncore asset sales from the portfolio. And as I mentioned on our last call, we're not going to rush this and price bad deals in the process, but we have generated proceeds of $300 million year-to-date when you include the partial sale of our ITV stake last week. So we are well on our way. Of course, one of the bigger portfolio companies is Formula E, which heads into season 12 in December with significant tailwinds, including double-digit growth in revenue, fans and viewers last year, a knockout calendar of 18 races and the public reveal of the Gen 4 car, which debuts a year from now and doubles the max power of what is rapidly becoming the coolest car in racing. And we'll highlight in just a few slides our data center investments. With the boom in AI infrastructure, we believe we have a tiger by the tail, as I say, with over $1 billion in assets today and growing. And finally, the quarter brought some great progress at Liberty Services, where we manage large and profitable tech and financial platforms and at our corporate level, where we are in the midst of reshaping the operating model. I think the big news here is that we are improving for the second time this year our guidance for net corporate costs in 2025. We started the year forecasting around $200 million of net corporate cost. In the second quarter, we improved that to $175 million, and now we're improving it further to $150 million for this year. Perhaps even more importantly, we see visibility in 2026 to just $100 million of net corporate costs. Now this is a hot button for us as most analysts reduced their target price for our stock by, I think, $8 to $10 per share, just related to that $200 million net corporate spend. These announcements today should dramatically improve our valuation narrative, and you can bet we'll be pounding the table on it starting right after this call. I think Charlie will also address it. Lastly, on this slide, we note that we're forecasting $2.2 billion of cash at the holding company at year-end, assuming just the $300 million of asset sales year-to-date. Now the next slide provides an update on our strategic plan to unlock value for shareholders. And I guess this is the key takeaway today. First, let me reiterate what we laid out on our second quarter call back in August. Following the continued success of the Sunrise spin-off about a year ago, we remain committed to pursuing similar transactions that would further unlock value for shareholders. This may include the separation of one or a combination of core operating businesses you see on this slide actually through a spin-off, tracking stock, listing or similar equity capital markets transaction. I imagine many of you still own or follow Sunrise. The stock has performed well and trades around 8x EBITDA with an 8% dividend yield today. And looking back on that deal, I think 4 key factors laid the groundwork for its success. Number one, Switzerland is a largely rational telecom market. Number two, Sunrise had a less levered balance sheet, thanks to our capital contribution at around 4.5x on the date of the spin-off. Number three, Sunrise has a clear network strategy and CapEx profile. And number four, Sunrise has a solid free cash flow story that supports a progressive dividend policy. That was the formula. Strong balance sheet, a rational market and a predictable path to stable or growing free cash flow. I won't surprise you to learn that this looks a lot like the things we are working on in the Benelux. For example, at VodafoneZiggo, we've installed a new team with a winning plan that is built around generating long-term free cash flow in a largely 3-player market. We have now refinanced something like 80% of the 2028 maturities with the remainder targeted for this quarter or early next year. In Belgium, we are even further along. Our recently announced agreement with Proximus, which is currently being market tested by the regulator, rationalizes the build-out and wholesale monetization of fiber in a large part of Flanders with really only one network in 65% of the market. On the back of this, we just announced a EUR 4.35 billion financing for our netco there, which we call Wyre, which fully funds the build-out of fiber and allows us to reduce leverage at the Telenet servco, including all 2028 maturities. Even more exciting, we're in the early marketing stages of selling a significant stake in Wyre. This is an increasingly common value creation strategy in Europe, as you know, with the proceeds used to further deleverage our Telenet servco to about 4.5x. That's going to take a quarter or 2 to finalize all of these steps, but we're feeling more and more encouraged about the possibilities in this region for a value unlock in the time frame that we articulated. Now of course, we continue to work on other ideas, which we'll update you on in time. And as I said last quarter, all of the operating businesses or assets you see on this slide and some that aren't even shown can be singled out or combined with one another to achieve a value unlock transaction. So stay tuned. Now as I said, a key enabler of that strategic road map is ensuring that our operating companies are driving commercial momentum in what are increasingly competitive markets, right? And the long-term goal here is generating meaningful free cash flow. Now towards that end, each OpCo has been implementing a series of commercial initiatives and network improvements that are starting to impact results positively. This next slide summarizes a handful of those initiatives, which provide important context for the results that follow. Starting in the U.K., where Lutz and the team have been busy across a number of fronts, including the recent rollout of our new pay TV and broadband bundles, which now include Netflix for free that further differentiates us from the competition, in particular, AltNets. VMO2 is also redefining the flanker brand segment with the introduction of Giffgaff broadband services that complement Giffgaff mobile leadership. And we're rapidly transforming the O2 mobile network using the recently acquired spectrum to launch our first 5G gigabyte, plus we announced the U.K.'s first direct-to-cell satellite service with Starlink for what we call rural hotspot. So a lot happening in the U.K. Stephen and the VodafoneZiggo team have completely reversed trend in the Dutch market, delivering the lowest broadband churn we've seen since early 2023 and positive mobile net adds in the quarter. Lots of things are working right here, including being the first to roll out 2 gigabit speeds nationwide with upgrades underway for a DOCSIS 4.8 gig launch next year. We're also investing in the Vodafone brand on the back of the iPhone 17 launch. So the how we will win plan that Stephen has developed is quickly becoming the why we are winning plan, which is exactly what we needed in this otherwise rational telecom market. John Porter and the Telenet team have gone from strength to strength in Belgium in the last 3 quarters, supported by doubling of broadband speeds for nearly 1 million customers, their rollout in the South and a multi-brand strategy in mobile. And the fiber upgrade in Ireland is proceeding at pace with over 650,000 premises built now, and Tony and the Virgin team are ramping up our wholesale business with Vodafone and Sky and expanding their own reach to new off-footprint territories with fiber. And just to put a marker out there, with CapEx set to fall by 50% in the coming 2 years, we're planning for significant free cash flow out of the Irish business as well. Now the results on the following slide illustrate this improvement. Don't get me wrong, we are in a dog fight everywhere, but we are fighting right back and differentiating our products and services, attacking vulnerable competitors and driving better results each quarter. In fact, 3 out of our 4 markets, we've demonstrated improved sequential fixed and mobile subscriber results throughout the year and in Holland over the last 2 quarters. Again, at VMO2, our fixed churn initiatives, things like proactive management of the base and one-touch switching activity are gaining traction and improving broadband performance in a very competitive market. Meanwhile, postpaid mobile subscriber performance has consistently improved quarter-after-quarter this year, including ARPU growth supported by pre to postpaid migrations and our loyalty plans. VodafoneZiggo reported its third straight quarterly improvement in broadband losses with another strong ARPU result and postpaid mobile adds were positive again, driven by the initiative described just a moment ago. Telenet maintained positive broadband net add momentum for the second quarter running, driven by successful cross-sell campaigns, including back-to-school, while fixed ARPU growth was supported by price adjustments that they implemented during the second quarter. Postpaid net adds in Belgium were negative despite a strong performance on the base brand, while mobile postpaid ARPU continues to show pressure from the competitive environment. And in Ireland, Virgin Media's broadband base was largely flat with aggressive fiber offers in the market driving higher churn and impacting fixed ARPU. Postpaid net adds on the other hand, remained strong, and that's supported by a EUR 15 for life offer launched in May, boosting gross adds. So Charlie will walk through our financial results that are tied to these numbers in just a moment. Let me first turn to Liberty Growth. And by now, you're hopefully more familiar with the components of our portfolio, which, as I mentioned, increased in value to $3.4 billion at Q3. That's around $10 per share. As you can see here, 45% of the value or about $1.5 billion consists of premium media, sports and live events businesses, which we and most everyone else these days see as great long-term investment strategies. Another 40% is in digital infrastructure, which I'll dig into a bit more on the next slide. And then most of the balance resides in our tech portfolio, which consists largely of venture capital investments in companies, many that are leading the way in AI, cloud and cybersecurity. Now while it might appear like a complicated and diversified mix of investments from the outside, as I said earlier, it's important to remember that 6 of these deals comprise over 80% of the portfolio's value today. You can see them listed at the bottom of the page. Things like a controlling interest in Formula E, which I spoke about, and our remaining 5% of ITV, for example, and the 2 largest assets in our digital infrastructure vertical, which I'm going to highlight on the next slide. Now both of these infrastructure investments are substantial, adding up to over $1 billion of value for us today, and they performed extremely well, especially in the current environment where the development of AI infrastructure seems to have exploded. We're thrilled to own a minority interest in Edgeconnex. It's a global data center platform controlled by EQT and focused on hyperscalers across over 60 Tier 1 markets in 20 countries around the world. And we first invested in this company back in 2015. It was much smaller, and we have a net $150 million invested today. And the good news is that we've already taken $50 million off the table and our residual stake is conservatively valued at over $500 million. That equates to a 30% IRR over the last decade. On the right, you'll see our 50-50 JV called AtlasEdge, which is a regional data center provider focused on Tier 2 markets. The company has strong positions in Germany, Austria and Iberia and is seeking to expand capacity to 180 megawatts. We have a net investment here of about $345 million, and we've had our interest valued by third parties at around $600 million today. Again, both of these companies find themselves in the middle of multiple AI infrastructure and data sovereignty projects, and we are focused on driving continued growth right now in what is an increasingly hot space. So I look forward to your questions on all of this, but let me first turn it over to Charlie to walk through Liberty Services and our numbers. Charlie?
Charles Bracken: Thanks, Mike. Turning now to Liberty Services and Corporate. On the left-hand side of the slide is an overview of our central services, which focus on 3 core activities: our corporate group provides strategic management and advisory services in operating and managing financial and human capital as well as technology strategies and investment. Liberty Tech focuses on the delivery of scaled tech solutions, particularly in entertainment and connectivity platforms as well as cybersecurity for our telecoms companies. And Liberty Blume develops and provides tech-enabled back-office solutions, not just to companies within the Liberty Global family, but also increasingly to third parties. We are reinvesting these tech-enabled efficiencies within Liberty Blume to drive 20% plus organic revenue growth in 2025. During the third quarter, we undertook a significant reshaping exercise around both Liberty Corporate and Liberty Tech to drive cost efficiencies going forward and make both organizations more agile and well positioned for the future. Starting with Liberty Corporate, we undertook both voluntary and involuntary redundancy schemes, which have reduced headcount by around 40%, with 90% of those leaving by year-end. And in Liberty Tech, we can continue to leverage our successful Infosys partnership with 4 years of proven track record to help secure additional efficiencies and simplification savings. We expect both the corporate and Liberty Tech initiatives to drive around $100 million of annualized cost savings. Bringing all this together, you will recall that we began the year guiding to less than $200 million of negative adjusted EBITDA, and we've already upgraded this to around $175 million of EBITDA at Q2. Now we're pleased to reduce this further for 2025 to around $150 million of negative adjusted EBITDA, supported by the in-year benefits of our corporate reshaping programs. Now perhaps more importantly, turning to the fully annualized impact. Once we see the benefits of this reshaping annualized from 2026, we expect our corporate adjusted EBITDA to broadly halve to around $100 million. And from there, we still see scope for further improvement as we evolve our operating model through additional third-party revenues, advisory fees and management services agreements alongside the scope for further cost optimization. So to put this in context, at the beginning of the year and the average analyst sum of the parts valuation, there was around $10 per share negative impact based on the capitalization of these corporate costs, which was typically at around 12x to 14x enterprise value to operating free cash flow. We now expect the run rate of negative corporate costs to essentially halve versus the start of the year going forward, which would drive a significant reduction around half of this discount in our analyst valuation. And we would also argue that an EBITDA multiple more in line with the telco comparables, which is much lower, is the right way to value these costs, which would further reduce the impact. Moving to the treasury slide. We've been extremely proactive year-to-date and through Q3 in dealing with our 2028 maturities in what has been a favorable overall high-yield market, in particular in the bond market. Overall, we've successfully refinanced close to $6 billion across our credit silos year-to-date, and this actually increases to $9 billion if you include the underwritten Wyre financing that Mike has already discussed. At Virgin Media O2, using existing benchmark financings, we were able to complete mainly private tap transactions amounting to $1.4 billion, bringing to total refinancing year-to-date at Virgin Media O2 to over $3 billion, which leaves us only with around $100 million of outstanding 2028 maturities. VodafoneZiggo, we issued just under $1 billion of senior secured notes during Q3, leaving us with around $500 million of outstanding 2028 maturities. And at Telenet, we've already completed $600 million of financings year-to-date and have recently secured a EUR 4.35 billion underwritten facility for Wyre. Now this will allow us to significantly refinance Telenet overall and formally separate the Wyre and Telenet servco capital structures and in the process, repay all the 2028 maturities. Now all of this proactive refinancing activity has significantly reduced our 2028 maturities and has actually maintained our average life of our debt at close to 5 years and broadly comparable credit spreads versus our historic levels. Turning to the next slide. We remain committed to our capital allocation model and strategy to both replenish our cash balance while also rotating capital into higher growth investments and strategic transactions. Starting with cash generation, we continue to see free cash flow in line with our expectations as set out for the year across our opcos and JVs. As has been the case in previous years, we expect the JV dividends to be largely paid in Q4 given the free cash flow phasing of Virgin Media O2 and VodafoneZiggo. Across all the OpCos, CapEx remains elevated, primarily driven by extensive 5G rollouts in the U.K., Belgium and Holland. And also fiber investment is ramping in Belgium, and we continue to invest in Virgin Media O2's fiber up and Virgin Media Islands fiber-to-the-home program. And this is along with our DOCSIS upgrade path in Holland. Turning to our cash walk on the bottom right. Our consolidated cash balance was $1.8 billion at the end of Q3 with an additional $180 million received since then with a partial ITV stake disposal in October. During Q3, we saw modest investments into Liberty Growth of $77 million, which was primarily Formula E and AtlasEdge and spent $56 million on our buyback program. We're currently tracking towards a buyback of around 5% of shares outstanding for 2025. Moving to the Liberty Growth walk. The fair market value of our Liberty Growth portfolio remained stable versus Q2 at $3.4 billion. This was primarily driven by the investments in Formula E and AtlasEdge, offset by the partial disposal of our Airalo stake and a small fair market value reduction in our Liberty Tech portfolio. Turning to the key financials on the next slide. Virgin Media O2 delivered a modest revenue decline of 1%, excluding the impact of handset sales, nexfibre construction revenues and 2 months of Daisy contribution. This was driven by declines in our B2B revenues, which were offset by growth in our consumer businesses. Adjusted EBITDA at Virgin Media O2 continued to grow at 2.7%, supported by cost discipline and lower cost to capture year-on-year. Moving to VodafoneZiggo. We saw a revenue decline of 4%, largely driven by the decline in ongoing repricing of our fixed customer base. Adjusted EBITDA was impacted by the revenue declines and commercial initiatives supporting the new strategic plan. Telenet revenue and adjusted EBITDA growth were both impacted by a positive deferred revenue benefit in the prior year of $18 million. In addition, revenue growth was also impacted by the decision not to renew Belgium sports rights, which was more than offset by associated lower programming costs. Turning to our guidance slide. We're updating 2 items of guidance. Firstly, Virgin Media O2 revenue guidance, where we are confirming growth in the consumer and wholesale revenues. But given the Daisy transaction, which completed during the third quarter and the creation of O2 Daisy, we're currently reviewing the impact of Daisy on B2B reporting, but can confirm our previous guided M&A impact from Daisy of around GBP 125 million of revenue in 2025. And secondly, as discussed previously, we're improving our Liberty Global Services and Corporate adjusted EBITDA guide to $150 million in 2025. All other OpCo guidance remains unchanged. Now that concludes our prepared remarks for Q3, and I'd like to hand over to the operator for the questions and answers.
Operator: [Operator Instructions] The first question comes from the line of Maurice Patrick with Barclays.
Maurice Patrick: Congrats Mike, on the new role. Just maybe a question given the topical FC article this morning around [indiscernible] in the U.K. I wouldn't expect you to comment on that transaction. But maybe a good opportunity, Mike, ahead of Telefonica's CMD next week to talk a little bit about your outlook and view on investments in the U.K., specifically around the fiber side, whether you -- the NetCo sale plan could still be resurrected,our view around buy versus build and the cost. You've always said you'd consider buying if the cost was comparable to your own build cost. How your thoughts are evolving there would be very helpful.
Michael Fries: Sure. And we're not sure what Telefonica will be addressing next week, obviously. We'll all find out. But I think we've been consistent on the fiber point, at least through the course of this year, which is that we'll continue to upgrade our own fiber, and we're now reaching Lutz and his team have access to 8 million fiber homes through a combination of our own upgrade of the Virgin Media network and, of course, the next fiber footprint. So we continue to, at least with our own homes at the Virgin Media side, continue to upgrade fiber and increase the footprint and the reach of that technology. That's point one. Point two is we've always stated and if you -- we are actually now deal down with the up deal we did about a year or so ago, we've always stated that the market requires rationalization that AltNets, most of them will find it difficult to continue doing what they're doing in the manner in which they're doing it, and we're supportive of opportunities to consolidate and rationalize the fixed network environment, period. So I'm not commenting, as you suggested, on any particular deal. I would simply say, if you look at our history, where we used nexfibre in the case of up to begin the process of rationalizing, we're open-minded and open for business, if you will, for opportunities that would achieve just that. So I think it's still a bit of a moving target everywhere, but we're hopeful that in the next 6 months, things will start to settle, and we may or may not be part of those transactions that precipitate that settling.
Operator: The next question is from the line of Polo Tang with UBS.
Polo Tang: I've got a question about the Dutch market and the improvement in terms of broadband that you're seeing there. So can you maybe just talk about competitive dynamics, both in the broadband market, but also in terms of mobile? And how confident are you that you can stabilize the broadband base in 2026? And will this come at the expense of further declines in terms of ARPU? And can you maybe also comment in terms of whether FWA is having any impact on the broadband market?
Michael Fries: Sure. That's a great question for you, Stephen.
Stephen van Rooyen: Yes. Thank you, Mike. So like 3 questions. Can you hear me.
Michael Fries: Yes.
Stephen van Rooyen: Yes, can you hear me? So I think 3 questions. So first is stabilizing broadband adds. We see the market is pretty competitive, although rational. We've set out a plan, which we've spoken to you about at length over the last 12 months, which is working. The heart of the plan is to get us back to broadband growth. That will take us, I think, the balance of next year, but that's what we're pushing towards. It's an uncertain journey because we can't predict what the competition will do, but certainly, we are pushing our plan forward. The heart of that plan is bringing down churn. You'll have seen and we are pleased with how much we've been able to deal with the churn in our base, and we'll continue to push on with that through the next year. In mobile, I think it actually was. I think there's a lot of activity like most European markets in the value segment. We're well positioned there with hollandsnieuwe, which has done pretty well for us. We think that there's more we can do in that space, and we'll continue to pursue that through 2026. And then on fixed wireless, look, I think it's a variable in the marketplace. It's probably a question more for Odido than for us. We're focusing on our plan, reducing our broadband losses, getting our broadband back to growth, and we've accommodated for that within our plan. So I don't really have much to say about what's happening on fixed wireless there.
Operator: The next question is from the line of Joshua Mills with BNP Paribas.
Joshua Mills: My question is on the U.K. market and the competitiveness we're seeing. So wondering if you could give us a bit more color on what you're seeing on the ground. I note that the ARPU development this quarter for fixed line was negative, which may be expected, but perhaps disappointing following the 7.5% price increase in April. And then on B2B, I understand that there's some moving parts with the Daisy acquisition. But could you just give us an idea of what the underlying B2B growth would have been this quarter and whether that's running ahead, below, in line with expectations, that would be great.
Michael Fries: Lutz, why don't you take the broadband and ARPU question and Charlie, you can address the B2B question.
Lutz Schüler: Yes. I mean the market is -- the broadband market is very competitive as we speak. On one hand side, you see offers already around GBP 20 for 1 gig from AltNets in the market per month. And then Openreach came with 2 promotions. I don't know if you're aware, but for copper to fiber migrated customer, you are paying to Openreach for the next 24 months, GBP 16 for 1 gig. So this one promotion, the other one is you don't pay anything when you migrate a fixed wireless access customer onto the fiber network of Openreach, which leads to the fact that you see a very price-driven market. You see in the affiliate market, which is the most price-sensitive market prices from Sky also in Vodafone around GBP 21 for 1 gig. How are we doing in this? I think we are doing pretty well here because as you all know, we have the highest ARPU in the market. We have the customers who have the demand for the highest speed in the market. And yes, on one hand side, to now lower churn of our customers, we have offered prevention offers with some dip on ARPU. And also, obviously, we have to get our fair share of acquisition, which leads to lower ARPU. But in the scheme of things, losing only 28,000 customers and having only a dip of 1% of ARPU, we personally think it's pretty good outcome within a pretty competitive market. But let's wait for the announcements of our competitors.
Michael Fries: Charlie, do you want to address the B2B.
Charles Bracken: Yes. So look, as you know, we closed those O2 Daisy in the quarter, we've got a lot of work to do to try and reconcile accounting policies, the revised plans because things like a clean room. So what we've been trying to do is say, look, the businesses that remain outside that perimeter, we still expect to see growth and have had growth year-to-date. The business that we've actually contributed into O2 Daisy, which is our fixed and mobile B2B connectivity business, that has declined this year. You're right. We haven't actually broken that out and how we take that offline. But I think what we need to do is now we've got this not a joint venture, but a partnership. But in the Q4 results, we'll give you the separate financials and obviously explain how the impact of that business is and how we think it's going to grow in the future as we finalize the integration plans.
Operator: The next question is from the line of Robert Grindle with Deutsche Bank.
Robert Grindle: Congratulations, John, as well as Mike for his new position. I'd like to pick up on the central costs and valuation point, if I may. I suppose that's for Charlie. What would you say the costs are to drive the EUR 100 million annualized savings at the center? Do you reckon it's like a 1-year payback period or longer? Is there any stock impact at all from all these redundancies and any CapEx which goes to offset the savings? Or is effectively the EUR 100 million a straight drop through?
Charles Bracken: Sorry, it's a pretty good payback. I mean it's de minimis CapEx. Yes, sorry, it's a pretty good payback. There's de minimis CapEx, which is one of the reasons why I think an EBITDA multiple is perhaps a more appropriate way to look at it. If you do take the view that these are costs necessary to run a telco and we just scale them across the portfolio and indeed across our growth assets. So I think whether it's the telco multiple, what that is, but it's certainly along those lines in my mind. In terms of the cost to achieve it, there is some degree of restructuring, but broadly speaking, pays back within, I would say, less than 12 months. So very little frictional cost.
Operator: The next question is from the line of Nick Lyall with Berenberg.
Nicholas Lyall: Just a very quick one, please, Mike. On Slide 4, I'm just interested why you picked the Benelux markets first and maybe not VMO 2 in the U.K. market. Is it simply just because of size? Or are there any one of those 4 criteria that you just don't think it ticks the box on yet and maybe others are far closer to? Could you just maybe describe why that might be, please?
Michael Fries: Sure. Yes, I think we're -- we want to trend towards a Sunrise type framework everywhere we operate. And I think there is a pathway to do that everywhere we operate. We seem to be making and are making meaningful progress in the Benelux for all kinds of reasons, both Dutch market and the Belgian market are highly rational markets, closer to Switzerland than anything else, I would say. They have their own unique peculiarities around competition, but largely rational 3-player markets. We've been able to attack the balance sheet, specifically in Belgium, where we've successfully created a netco and the servco there and have done the -- are in the process of executing the classic move of putting more debt on the netco as it builds out. It's a higher quality credit. I'm not allowed to tell you what the credit rating is of this EUR 4.35 billion financing, but it's the first time we've ever seen one. I can promise you that. And using the proceeds and the financing capabilities of a netco to delever the servco, which is the remaining core commercial business. And those combination of steps have been in the works for quite some time. And now we did and have attempted to do similar things in the U.K. as somebody mentioned just a moment ago and not suggesting we can't get to the same place in the U.K. at some point. But it does appear like, in particular, in Belgium, we are on our way to executing on those 4 key measures. And so that, to us, is worthy of highlighting and letting you know we're busy, very busy in this part of the platform and the portfolio and that if we made a commitment to make some decisions around these things, and I think more likely than not, we'll be making some decisions around this part of our business in the relatively near term, certainly within the time frame that we've outlined. We hope in all of these markets. Ireland, I mentioned, is going to have a massive reduction in CapEx. It's going to start generating free cash, but it's small. But certainly, Virgin Media Ireland looks and will tick the box on many of these particular metrics. The U.K. is -- look at a trophy business for us, certainly something we are committed to for the long term and is an increasingly important investment. And we are by no means suggesting that we can't achieve similar results or benefits in the U.K. We're simply saying there, we have a partner, and we have to align with our partner on the best next move. We have a market that's a bit fragmented today. And as we discussed a moment ago, it's going to require some form of rationalization. And so these are things that we work on with our partner. So I'm not suggesting for a second, we can't achieve similar things in the other assets or markets identified on that slide. I'm simply saying we're making good progress here. We'd like you to know about it.
Operator: The next question is from the line of David Wright with Bank of America.
David Wright: Congratulations, Mike, on the new role. It's obviously quite a significant event to see John stepping away after such a significant impact on the industry. A couple of questions, please. And the first is just on the U.K. guidance and maybe my colleagues are better at this than me, but I'm trying to understand whether there seems to be a change in perimeter here. And I'm looking at the numbers, I'm inclined to think that the same perimeter with the shift in B2B could have forced you to possibly push the revenue guidance lower. This is like-for-like without Daisy. It does feel like you could have had to push the revenue guidance lower. I'm just wondering if that's the case. I'm just struggling to reconcile that. And then the second question I had, it's just your language you used before, Mike, which I just found a little surprising, which was you sort of said we'll have to see what Telefonica wants to do. Now I might have expected you to sort of say we'll announce our plans jointly next week. Does Telefonica have any sort of strategic rights or priority around the U.K. business in the shareholder agreement? Maybe I've just read this incorrectly, that might be the case. I appreciate that.
Michael Fries: No, David, I'm glad you asked that question. Yes. I appreciate that second question because as I spoke those words, I occurred to me those probably didn't come out very clearly. No, first of all, no, this is a 50-50 joint venture. We make decisions jointly, and I have a very good dialogue and working relationship with Mark, we are 100% aligned on everything that's happening in the U.K. So that is not what I intended to say. There was a reference to their Capital Markets Day and I'm just pointing out that we're not part of that. They have a lot of things to talk about to the market, and they will surely talk about those. But we don't expect any surprises, if you will, around the U.K. market. We're aligned and talk every week about what we're going to do together. So thank you for asking that. I'm glad I could clarify that. On the guidance, listen, I'll let Charlie dig into it. The way I see it is we're providing greater transparency at a time where it's probably needed for analysts to understand what's growing and what's not and what are we getting our arms around. So Charlie, do you want to address that?
Charles Bracken: Yes. So look, I'm sorry if it's confusing. And you're right. The difficulty is that we've now got this company called O2 Daisy, and we own 70% of it. 30% of it we don't own. And therefore, at some point, hopefully very soon at the end of Q4, we're going to give you the key financials of that. And as we align that company, it is tricky because there's different accounting policies, as I'm sure you'd d and blah blah. So we're trying to do is confirm what we can't tell you. So we can tell you that the businesses, excluding the ones that went in there are growing and we expect to grow. And we have told you that to date, the B2B connectivity business, mobile and fixed that we have put into O2 Daisy is in decline. Now if that means you would interpret that as the combination of O2 Daisy would have meant that the business would have not been growing, maybe that's right. But it's somewhat academic because we've got to work through what the O2 Daisy combination is going to develop. And the whole idea was the 2 companies are very synergistic and not just in costs, there's a material cost saving there but also with some revenue growth. So I mean, I apologize if that's not clear enough and having to take it offline, but certainly how we see it.
David Wright: Super, Charlie. Could I just add a quick one? Are there any puts and calls around that 30%? Or is that just the ownership at Infinite right now?
Andrea Salvato: Charlie, do you want me to take that. It's Andrea.
Charles Bracken: Yes. Yes, Andrea. Sorry, yes, you should answer.
Andrea Salvato: Yes. No, there are no puts and calls, David.
Operator: The next question is from the line of Ulrich Rathe with Bernstein Societe Generale Group.
Ulrich Rathe: My question is about the refinancing, obviously very impressive. Question to Charlie. Are all of these financings, can you confirm fully swapped in the usual policies that you used to have in terms of into the local currencies of the operating units and also in terms of fixed rate swaps? Because I do think -- I do remember you did some refinancings where you actually didn't implement these older policies. So just wanted to confirm that the refis now are back to the old policies?
Charles Bracken: Yes. To be honest, I don't think we've changed our policies. The bonds, we've all swapped at our fixed rate at the rate we issued at, which in some cases is actually higher. So just to confirm the 2 questions. One is all currencies are matched. So everything in the U.K. is sterling. We're not taking dollar or euro risk. So that's a tick on all the policies. On the interest rates, all bonds are fixed by nature. And on any bank debt, we haven't done a ton of bank debt because the bond market has been so strong, to be honest. We have maintained the swaps. Remember, the swaps are independent of the original bank financings. So we are monetizing or riding those low interest rates until '28, '29, '30. But thereafter, we would have to come in at higher rates, and we are gradually pushing out those hedges. So we are maintaining a pretty good 3-, 4-, 5-year sort of fixed profile depending on which market it is. I hope that sort of answers the question.
Operator: The next question is from the line of James Ratzer with New Street Research.
James Ratzer: I was going to ask one question. I mean tough to keep it to one. But on Virgin Media, in their release, they are saying they're planning to bring to 4x to 5x in the medium term. I was wondering if you can kind of talk us through the plans to get there. I mean does that require some inorganic steps like a kind of dividend removal, you in Telefonica injecting capital into VMO2? Or do you expect to get there organically through EBITDA growth?
Michael Fries: James, that was a little hard to hear. I want to be sure we got the question right. I think you're asking about leverage expectations at VMO2 staying within the 4x to 5x range. And I think that is our objective, and I think that is achieved in a number of ways. But one you didn't mention, which is organic EBITDA growth, which Lutz and the team have been able to deliver consistently. So organically, the business should delever over time. I don't think we're in a position today to talk about dividends or asset sales or things of that nature, although we do have tower -- residual tower interests that could be used in that regard, and we're always open-minded about it. But getting within the range that we've maintained historically is always our underlying goal. Charlie, I don't think there's much to add to that, but go ahead if you think there is.
Charles Bracken: No, no, I think that's absolutely right. Look, listen, we are 4x to 5x levered. We're definitely through that in the U.K. So some good synergies potentially from the O2 Daisy deal, which we've talked quite a bit about today. And as Mike said, we expect some organic growth, and let's see how we go.
Operator: The next question is from the line of Matthew Harrigan with The Benchmark Company.
Matthew Harrigan: I'll just ask one question right out of the blocks. I mean I think when you look at the U.S. and the U.K., it's kind of competing dysfunction on the political side. But that look was recently quoted on Starmer's infrastructure tax. And I don't think there'll be any implications this year, but what might be the longer-term implications? I was on the comcast Q&A, so I apologize if you talked about this in the main discussion, but I'd rather suspect you didn't get to the topic.
Michael Fries: Matt, you're asking -- that's a big question, politics in Europe vis-a-vis our business. I mean, I'll step back a minute to say that I think we are approaching -- hopefully approaching a bit of an inflection point here where our industry, for example, the mobile industry just put a letter out to Von der Leyen, I think, 2 days ago, 3 days ago, making it clear to her that change is critical, necessary, needed if Europe is to maintain any sort of path to leadership in digital, industrially, really any category productivity. So we continue to make our case as an industry, as a sector that we're not just critical infrastructure. We are necessary for pretty much every aspect of growth and productivity that regulators and politicians are searching for. So maybe get off our throats. And that is, I think, being received positively. In the U.K., in particular, I think the government has had a growth initiative, a growth-minded approach to regulation. Recent changes at the CMA, for example, the Competition Commission there are positive in that they seem to be reflecting a much more growth-minded approach to M&A and to industry consolidation. So I think there's green shoots across the markets we operate in. There are still pain points, broadband taxes and things of this nature that are unnecessary, and we continue to fight those on a regular basis. But I think more broadly, I would say it's more of a tailwind these days than not. And whether it's sovereignty, where governments are realizing that their -- the critical infrastructure of telco is part of the solution for broader sovereignty and independence or whether it's just good economics that you need healthy telecom infrastructure to compete in the global marketplace. All of those things, I think, are coming together a bit, and I'm more encouraged now than I've been in a long time.
Operator: This will conclude the question-and-answer portion of today's call. And I would like to hand back to Mr. Mike Fries for any additional remarks.
Michael Fries: Great. Well, thanks, everybody. I appreciate you joining as always, and we look forward to getting back on the phone for our year-end call probably in the February time frame, hopefully, with updates on the strategic road map on how we're driving commercial momentum and more importantly, also how we're reshaping or continuing to reshape our corporate operating model. So I appreciate your listening in today, and we'll speak to you all very soon. Take care.
Operator: Ladies and gentlemen, this concludes Liberty Global's Third Quarter 2025 Investor Call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Global's website. There, you can also find a copy of today's presentation materials.